Operator: Good morning and good evening. First of all, thank you all for joining this conference call and now we’ll begin the conference of the fiscal year 2009 fourth quarter earnings results by LG Display. This conference will start with a presentation, followed by a divisional Q&A session. (Operator Instructions). Now, we shall commence the presentation on the fiscal year 2009, fourth quarter earnings results by LG Display.
Anthony Moon: Good morning, good afternoon and good evening everybody. Thanks for calling into our conference call and having interest in our company. My name is Anthony Moon, Vice president and head of the IR department at LG Display. On behalf of the company, I’d like to again welcome everyone to our global quarterly conference call. I am joined here by my IR staff as well as Kevin Choi, Vice President of TV marketing department, and Davis Lee, Vice President of the IT marketing Department. As just mentioned before going to the Q&A, I’d like to give you some brief highlights on our fourth quarter results, and touch upon our outlook for the first quarter of this year and the rest of the year. Moving right along to the second page of the presentation, it does show our disclaimer for this earnings release and the conference call. Please take a couple of seconds to look over the disclaimer. Moving on to slide four, looking at our revenues and profit. Sales grew 2% to our q-on-q and 46% year-on-year to slightly over KRW 6 trillion. This sales growth was achievable due to the strong demand from our customers in the fourth quarter. Note that our sales on a [area] basis grew 10% sequentially. Operating profit came in at KRW 357 billion in the fourth quarter. The following profitability is mainly due to the foreign panel prices and the strength of the Korean Won. While our ASP on partly square meter basis fell a little less than 3%. Q-on-q. Actual like unlike panel prices fell closer to 5%. The difference is mainly made by our improvement in our product mix. Now you note that our net income is higher than our operating profit in the fourth quarter. That is mainly due to some tax benefits we received from our CapEx and also from tax credit from deferred tax accounting. Moving on to the next slide please; on our balance sheet and financial statements. At the end of fiscal year 2009 we had KRW 3.4 trillion in cash and cash equivalents. Our inventory level fell 2% from the third quarter as demand from our customers continue to out pace our ability to fulfill those orders. Our inventories did decline a bit particularly on the IT side. Please take note that our inventory to sales declined again in the fourth quarter to 28%. At the end of fourth quarter our finished goods inventory for large panels fell below two weeks which is lower than the normal inventory level of approximately three weeks. Our debt at the end of fiscal year 2009 was KRW 3.9 trillion. That equates to a net debt to equity of 6% which is down from 9% in the first quarter. Moving on to our cash flow in the next slide, our net cash flow was a positive KRW 317 billion as we continue to keep our CapEx within our growth cash flow general ability. Moving on to the next slide on shipments and ASP. During the fourth quarter our shipments increased 10% sequentially as I mentioned to 6.2 million square meters which is slightly better than our initial expectation at the beginning of the fourth quarter. Demand continues to exceed our production capabilities in the fourth quarter and we continue to be slightly over 10% short of what our customers are demanding from us. Our ASP decreased by less than 3% sequentially to US $809 per square meter, the fall in prices is -- again less than our expectations at the beginning of the fourth quarter. As I mentioned just a minute ago actual like-unlike product prices fell 5% again the difference been from the improvement in product mix in particular a higher portion of LED TVs on the TV side and an increase in the ISP technological portion on the monitor side in IT. Moving on to the next slide on product mix, you'll see that during the fourth quarter the TV segment accounted for 56% of our total sales, monitors 23%, the notebook PCs 17% again you'll see the increase in the TV side -- on the TV side has been somewhat noteworthy in the fourth quarter. Looking at our capacity on the next slide, our capacity did increase 2.4%, but as I have mentioned before, our shipments increased 10%. That is due to an improvement in our productivity as we continue with our program of max capacity and minimum loss, also we did reduce some of our inventory in the fourth quarter. Now if I may move straight onto our outlook for the first quarter of this year, we expect our total shipments to be similar to the fourth quarter in the first quarter. Now if we take into account the normal seasonal nature of what first quarter tends to be and that is normally a 10% decline in demand. Having a similar shipment expectation into the fourth quarter is quite good and we would like to believe that this is an indication of a potential change in the industry dynamics where the peaks and valleys for LCD demand or the seasonal nature of the LCD demand beginning to suffer if we look on a quarter-by-quarter basis. Looking at ASPs, we expect a slight increase over the fourth quarter and again that is somewhat unusual as well, usually prices do decline in the first quarter as well. So this is again an indication perhaps that this is the potential beginning of a change in the industry dynamics. Lastly, our CapEx for 2010 was above KRW 4 trillion. Now this is on a cash-out basis. I remind you up to now we have been providing CapEx on a delivery basis we thought that is a bit misleading to the investment community. So we have changed that to reflect more of the actual cash that is being outlaid throughout the year. So we have changed that to a cash-out basis and it will be slightly above KRW 4 trillion. Now last year on a cash-out basis to give you a reference point, on a cash-out basis, CapEx last year was KRW 3.8 trillion. I will conclude my summary of the fourth quarter results here and we will open it up for questions. Again I would like to remind everybody to give equal opportunity to all the participants in this conference call. I would like to limit questions to three per person. If you have more than three questions, please contact our IR department separately and we will be more than happy to fulfill your questions. Operator, I would like to open the floor to questions please.
Operator: Now Q&A session will begin. (Operator instructions). The first question will be presented by Mr. Brian White from Collins Stewart. Please go ahead sir.
Brian White: Yes, I have got a question on operating profits in the December quarter, they seem to come up a little bit short and I am curious whether that was driven by since sales rose sequentially?
Anthony Moon: In the fourth quarter, the vast majority of our operating profits fell 60% right. The vast majority of that fall is from actual price decline. Although power itself. Roughly about half of the decline from third quarter, I would have say is from power price decline. Another big portion at the operating level is the CapEx rate, as the one appreciate we do have greater impact from that one appreciation to an operating level, while at the main level that has mitigated a bit because of our natural hedge from our foreign denominated debt and the last small portion is mostly from our increase in SG&A. Due to the low inventories checked by our customers, there were some, I would probably perhaps call rush orders or a strong demand to fulfill, to try to replenish some of the low carrying inventory. As the result of that, we saw some increase in our logistic cost as we were shipping more on an air basis rather than the sea basis.
Brian White: Okay, that’s a pretty big impact from pricing effects. Is there anything else that impacted other than logistics?
Anthony Moon: Well, I would mention that in that quarter one-off basis cost which includes logistic cost and some other issue cost which happens on a normal basis. I think the market is talking about some well, production issues, quality issues but that’s an normally recurring cost which happens every quarter and fourth quarter was not at extraordinary height. So what I would say is the one-off basis cost roughly about KRW 100 billion to KRW 110 billion in the fourth quarter.
Brian White: Okay. And when we look into the March quarter, how are we expecting margins to trend?
Anthony Moon: While we don’t give earnings guidance per se, I can say with fairly good confidence that first quarter operating profit and margin levels will be better than fourth quarter.
Brian White: Okay. And when we think about the Chinese New Year, what are you hearing about the Chinese New Year and what are you seeing in terms of order trends?
Anthony Moon: Right now, Kevin will perhaps provide more highlight on that front. From our standpoint right now, there is some inventory built for the Chinese New Year, nothing except there nothing to the point where we saw last year during the national holidays for, what was it in October? Right, the golden weekend. I don’t think they are building inventory levels up to that level but they are building some inventory and it continues probably for our side, but it'll probably continue until at least in this month. Kevin can you perhaps provide some more highlight please?
Kevin Choi: Chinese New year, actually the sales, the peak season starts from end of December and then it will continue until the middle of February because China Luna New Year will start February 10. Until then, this whole about 45 days the big sales in this region I think they will continuously increase the sales and actually when I talk to the people from China, when I met them in Las Vegas, I actually met most of the China customer and they told me that first day, second day, third day of the January sales is actually meeting their target. I think their target some company is actually 100% YOY growth and some company are 80% growth and most of them actually meet that target during that time. So I am continuously checking over the situation but until February 10th, I think that we have to continuously checking but actually as of now actually it's on the right track. So I think they think that it's okay.
Brian White: And finally, are there any shortages of components right now?
Anthony Moon: Right now it’s not too exceptive. But with that said, I think through out this year, much like last year, perhaps not to that extent, I still think glass will be an issue throughout the year.
Brian White: Okay and how was glass right now? It's tight but not a shortage or how would you?
Anthony Moon: Yeah I think that’s a fairly accurate description of the situation.
Operator: The following question will be presented by Mr. Matt Evans from CLSA. Please go ahead sir.
Matt Evans: This first question is on depreciation and my understanding is that one of the old five strokes out is the depreciation line in the first quarter, so we get a decline in depreciation. Is that correct?
Anthony Moon: Yes, that is correct.
Matt Evans: Can you give us any numbers with that based on? Can you give us a way to limit the depreciation on all these?
Anthony Moon: I am sorry, I hit the mute button. It’s roughly about 120 per quarter?
Matt Evans: Q-on-q decline will be KRW 120 billion, is that what you mean?
Anthony Moon: Depreciation.
Matt Evans: Yeah. Okay. So, we are hedging 20.
Anthony Moon: From the first quarter you mean? Yeah, roughly about that much.
Matt Evans: Okay. And your guidance for the total decline in cost of goods sold per square meter is low single digits, isn’t it?
Anthony Moon: Matt let me clarify. Actually the following depreciation is closer to 175 (inaudible).
Matt Evans: Okay. It seems that this implies the cash cost per square meter will not decline in the quarter, can you confirm that, and elaborate on what that might be?
Anthony Moon: You’ve done your analysis, very good question. In our relative guidance if you want to call it, we are keeping a fairly conservative stance on our cost reduction. When I say we’re keeping a conservative stand, that doesn’t mean, cost reduction is not going to be realized in our guidance to the market we’re keeping a conservative stand. We’re still expecting a, on a quarterly basis about internally that is about 3% to 5% cost reduction continue.
Matt Evans: Okay, and last question is on the capacity increase, I think 35% is the guidance, is that end fourth quarter to end fourth quarter or…
Anthony Moon: Yes. That’s more of a end-to-end. For the average, for the year probably depending on when we start to ramp up our Gen8 extension, I think you’ll be somewhere between 25% to 30% for the year. Now again, that would depend on when we start to ramp, how quickly we will ramp up the Gen8 and that will be dependant on purely demand from our customers throughout the year. We will be quite flexible and not only did schedule up the ramp but to speed up the ramp.
Matt Evans: Okay. That’s great. Thank you.
Operator: The next question will be presented by Mr. Andrew Abrams from Avian Securities. Please go ahead sir.
Andrew Abrams: I wonder if you could just define ASP, your guidance on ASP on kind of like-on-like basis as you mentioned in the second quarter, just so we have a reference point there.
Anthony Moon: As I mentioned, in the fourth quarter like-on-like fell 5%, while our actual fell less than 3%. In the first quarter we do expect some increase in prices on a like-on-like basis, but because of our improvement in product mix, increasing portion of LED and I have mentioned IPS under (inaudible) and then we should see increased portion of notebooks as well in the first quarter and mind you, if you look on a square meter basis if we go down the line, actually notebook is higher than the monitor or similar or monitor is slightly higher than notebooks and TV has a lower in terms of square meters, but profitability is different of course. So to make, I'm giving about, but basically I think we are ASPs just in for improvement the product mix should be higher than what we expect will -- on a like-for-like basis.
Andrew Abrams: Got it so there should be on a like-on-like basis?
Anthony Moon: Yes, absolutely.
Andrew Abrams: Okay. And can you break down the CapEx a little bit for 2010, you mentioned Gen. 8 is there any China construction in your because you're doing it on a cash basis now in your 2010 number.
Anthony Moon: Yeah we have built it in some amount for our staff in China so that is included on our CapEx. The vast majority of our CapEx is accounted for by a P8-extension mind you our maintenance is close to KRW 1 trillion so that is also included.
Andrew Abrams: Okay. So that’s all built-in all of those that you mentioned.
Anthony Moon: Right
Andrew Abrams: And would you expect your China status to be up and running early 2011 or are we over anticipating where you'll be?
Anthony Moon: I think you are over anticipating we're looking at early part of 2012.
Andrew Abrams: Okay. I mean I've heard rumors that ground was already broken so I had to ask the question.
Anthony Moon: No. I don’t know where that came from. Not yet.
Operator: The following question will be presented by Mr. Ben Lu from Seligman Investments. Please go ahead sir.
Ben Lu: Hi guys thanks for this. I have three questions. Anthony just wanted to clarify on that cost down you have 3 to 5% quarter-over-quarter. From a calculation your cost per square meter in Q4 was roughly, lets call it, US $700 or maybe a little bit less or 5% down would probably get that down to about US $665 which is only about a $35 decline. So just trying to figure out how much of that is caused by the depreciation and just to follow-up on that? And also was curious in terms of the weeks of inventory that you are seeing built for a Chinese new year versus golden week I think that, back then you said golden week inventory built was about eight week heading into it. And obviously sell through was really good so that all cleared out. We’re just curious how many weeks of inventory you are seeing for Chinese New Year? And lastly, just wanted to get a sense of 3D panels, whether the margins there are any different? I know that for 3D TVs right now you really needed a timing controller and IR emitter, but for panels I know the only difference is I believe 240 hertz versus a 120 but if you just focus 3D panel is the margins and prices different from a traditional 240 hertz panel?
Anthony Moon: Right regarding your first question, when I talk about cost down or what I am talking about what we call internally cost innovation and that is pure on a cash basis. I am not talking about depreciation changes and depreciation. It doesn’t reflect the changes in depreciation when I am talking about cost stock. Now with that said I am also referring to your costs down on a one basis. So if the Korean Won appreciates we could see less than what we expect on a dollar basis. Do you follow me Ben?
Ben Lu: And what was your FX Anthony, average FX in Q4 and what is your assumption for Q1?
Anthony Moon: In Q4, it was 1170 and in the first quarter we are looking at above 1130. For the full year we are looking slightly below 1100. To your second question, how many days of inventory on the Chinese New Year, Kevin if you could please?
Kevin Choi: Chinese Lunar New Year preparation, inventory wise I think that it’s slightly higher than normal inventory, not the huge inventory build up, because December sales in China was also very strong. So, I mean, we don’t have enough time to build up inventory at this moment. So they are just buying and selling and buying and selling, that kind of situation. So I think that maybe end of January, we can check about their actually sales number and then we can actually calculate the inventory situation. Right now actually it’s all to say that.
Anthony Moon: With that said, our sense is that inventory have built up a bit in China, but nothing to worry about, nothing except that Kevin mentioned, things are going normally according to what everyone was expecting. While they do have lofty expectations, those expectations currently are being met in terms of actual sell through or purchases by the end consumer.
Kevin Choi: Only if I mention that some kind of shortage model is actually 32-inch model, 32-inch model continuously and we are receiving some additional orders, but actually satisfying all those demands. So 32-inch is the size that most actually shortage happening in China right now?
Anthony Moon: Regarding your last question about 3D, now Ben I think we have to lay down the ground work, the two different types of technologies that is being marketed for 3D. First is the shutter glass technology and the other one is patent [retarder] and the one you are referring to is shutter glass technology and that is correct. The shutter technology and that will be probably the majority of the products being introduced at the beginning stages of 3D. You are correct; it does require 240Hz panels and that does carry a higher price and higher margins for us. As to the degree of the price and the margins, it’s difficult for me to go into that at this time.
Ben Lu: Just to clarify versus a non-3D enabled 240Hz traditional panel there is not much price and margin difference, correct?
Anthony Moon: Slight difference, there isn’t much on the cost side, but it could be slightly different on the margin side.
Operator: The following question will be presented by Mr. Yair Reiner from Oppenheimer.
Yair Reiner: Great, thank you very much. Just a quick question on pricing in the fourth quarter. You said that demand exceeds supply by about 10% and yet prices decreased a bit. Typically we think of prices going up and supply is tight. What are some of the dynamics that cost prices to decrease in the quarter?
Anthony Moon: Very good question. Now it all differs, demand is always functional, at what price people are willing to buy at and when prices declined a bit. We saw increases in orders and while I say throughout the quarter we were slightly deficient, the vast majority of that deficiency came in December. If you fill up the first two months of the fourth quarter looking at October and November, I would describe that as where demand was declining because of the adjustment and inventories both at the spend level and at the retail level and so while overall we were slightly deficient, we saw less of that deficiency during the first two months of the year. So, that’s why we saw prices start to actually increase as we came into December.
Yair Reiner: In terms of the market share dynamics obviously over the course of 2009 you were able to see a lot higher utilization than most of your competitors especially in Taiwan, in Japan. Is the strong performance in 4Q, in terms of utilization and the strong guidance for the first quarter an indication that the share shift continues to be going in your way or do you see this right now as being a rising tide that's lifting all ships?
Anthony Moon: Well, I think there is some lifting of the tide some as we go from fourth quarter to the first quarter. Overall market demand is mentioned I think, as I mentioned relatively flat Q-on-Q and that's not just for us, I think the industry maybe similar to that as well. But as to for our self, the market share gains probably will mitigate a bit until we start to ramp up our next Gen 8. So in the first quarter I am not shy, I don’t see it increasing all that much to be honest, statistically because we are capacity constrained.
Yair Reiner: Okay but fair enough and my last question before I get back into the queue, can you update your market forecast for 2010 in terms of growth in overall LCD volume demand and also increases by different applications like TV, notebook and monitors? Thank you.
Anthony Moon: The overall market we expect to increase roughly about 20% in terms of demand that’s on a per meter basis, square meter basis. We also expect the plant to increase roughly about 20% as well. So we can expect this to be fairly an equilibrium in terms of the growth base. As to the different the growth rate in terms of TV and IT, we do expect TV to be stronger in excess of 20%. On the IT side I think growth will hover around 10% level.
Operator: The next question will be presented by (inaudible) from Barclays Capital.
C.J. Muse: Yeah. Hi, actually this is C.J. Muse with Barclays Capital. First question, you just talked about expectations for the industry to grow about 20% on an area basis, and prior on the call, you talked about expectations for glass supply to be relatively tight, so what do you think the potential upside is to that 20% and at what point does that get gated by the limited glass supply?
Anthony Moon: The last I heard is that glass supply is going somewhere between 15 % and 20% if I’m not mistaken, and that maybe updated in the weeks to come as the glassmakers results come out, but our expectation is that much like last year, glass will remain fairly tight, maybe I don’t think to the extent because last year was quite severe especially in the second quarter, and third quarter as well. Glass shortage was quite severe. I don’t think we will get to that extent, but I think the keyword there is the potential, is there for glass to continue to act as a bottleneck in the overall supply growth this year.
C.J. Muse: In terms of your projected cost down on a quarterly basis, what impact does this tightness in glass have on that? Are there more ways than getting pricing down on glass to hit those targets or if we see flat pricing on glass, is that going to be a problem?
Anthony Moon: Good point. Now, as a single raw material and building material, glass is probably the largest. But if you look, it isn’t the only product, so, we're looking at cost innovations, not only internally but other components as well. Now, also what's happening is as we move into new products, for example, the LED portion this year will increase. We've been talking about 3D. We're at, I will have to say, the early stages of cost innovation on those products. So when I say we will have a cost reduction of 3% to 5%, that includes some cost innovation, not only from the existing CCFL backlight panels, but also as we move into 3D and LED, we'd be seeing higher amounts of cost innovation from those products.
C.J. Muse: Very helpful. On CapEx, you changed from delivery to cash. So I guess, your prior guide I guess was above KRW 3.5 trillion on a delivery basis for 2009, flattish 2010. With these new numbers that you have provided now on a cash out basis, has that changed at all?
Anthony Moon: Right, that’s a very good question. No, not much. So on a cash-out basis, we’ve always been looking at close to KRW 4 trillion or slightly higher. On a delivery basis, it’s still hopefully above KRW 3.2 trillion.
C.J. Muse: And with the China investments, will that get consolidated into CapEx or will that be viewed as just an investment that’s not consolidated?
Anthony Moon: Because we will be the majority shareholder of that entity. I would have to double check with our accounting department, but at this time I would have to say that we'll be fully consolidated because we will be the major shareholder.
C.J. Muse: Okay and so with the cash outlays, that you guided to is there potential for that to go higher with a pull in of China or is that something that will move into 2011?
Anthony Moon: No, the vast majority of the China CapEx will happen in 2011, what we captured for this year for the China portion is initial groundbreaking stages. So this year, the cash outlays for China is relatively small actually.
Operator: The following question will be presented by JJ Park from JP Morgan. Please go ahead, sir.
JJ Park: I just want to clarify depreciation expense given that P7 depreciation ended in Q4. At the same time the P8 is [tantalized], will kick in some point in the second quarter so how do you concise the depreciation expense per quarter for 2009 and if you could provide annual depreciation expense.
Anthony Moon: Right on an annual basis, last year total depreciation was KRW 2.8 trillion. We expect a similar level in 2010 overall.
JJ Park: So if they have chased Q1 depreciation is past, we're basically a [bit cost] decline and then depreciation path will move above starting from the second quarter.
Anthony Moon: Again, it depends on when we start to ramp the Gen 8 and while we've made preparations for the potential ramp to start in the second quarter, we haven’t made that decision yet. We have just prepared for that now. Should we do it in the second quarter, we could see depreciation increase slightly upon my current guidance but again, that decision has not been made.
JJ Park: Second question, looking at the annual costly adoption in the past couple of years, I am saying that I got Gen 8 today to hide the 30% cost reduction, in the 2010 as you mentioned that you are going to have the LED and the high-end product. Is it safe to assume that quantity reduction for this year will be much smaller that what you achieved in the past couple of years?
Anthony Moon: Right, if you look on a flat basis, if you look at it like-for-like, if you take into account the change in product mix that’s correct potentially but when I say 3% to 5% I am mentioning that I am taking into account on a like-for-like basis. For example, we may see slightly less cost reduction for our existing TCFO products but in increasing cost reduction on the LED and IPS monitor size. So that’s should contribute to a continued 3% to 5% on a like-for-like basis. But overall, you're correct because of the mix change you could see it in a common trends that our cost reduction is slightly lower. That is correct. But to offset that, our ASPs would be higher. So if I account, because we may have a lower cost reduction that does not mean our margins would decline. Actually I think our margins would increase because of this.
Operator: The next question will be presented by Mr. Dan (inaudible) Capital. Please go ahead sir.
Unidentified Analyst: Hey Anthony just a quick question on the SG&A for next quarter. What do you, just given the ramp that you had back up to like 7% you know over 7% of sales, do you expect that number to come back down again in the first quarter?
Anthony Moon: Right I think it we'll come back to normal. We would see that extraordinary logistic cost increasing in our SG&A. We expect in the first quarter will come back to normal levels.
Unidentified Analyst: So normal is like 4 or 5% of sales?
Anthony Moon: Correct, correct. Roughly around that area.
Unidentified Analyst: Roughly okay, 4 to 5% of sales. Okay, great. And then if I look at just on the cash cogs. I think somebody was asking a question similar to this, but the cash cogs number was up 12% sequentially. I think if my math is right, in the quarter, what drove that and the gross margin, what drove the gross margin down so much as because the pricing was only, pricing was only down a couple of percent, right like 2.23%.
Anthony Moon: Our cash cogs actually from our calculation should be is much lower than 10% actually, closer to 8% in our calculation anyway.
Unidentified Analyst: Okay. May be I have done the math.
Anthony Moon: Much of that is again because of the price decline that you just mentioned, the product also on area basis again, the currency price effect because certain portion of our cost is still in Korean won, for example depreciation, labor or some portion of the raw materials are in Korean won. So as the won appreciated on a dollar basis, you will still see that increase.
Unidentified Analyst: Okay. So from a gross margin perspective next quarter, if I just kind of work through all the guidance you gave, it implies though that your gross margins would be roughly flat sequentially is that what you are implying?
Anthony Moon: No, I don’t tend to give earnings guidance, but I am fairly confident, our margins both on a gross level and operating level will be better than fourth quarter.
Unidentified Analyst: Last question from me, just on the shipment guidance for the quarter. Can you just break it down monitor, TV, notebook? Relative to kind of like the flat, is everything flat or is one of those up or one of them down?
Anthony Moon: So, TV we expect to be relatively flat and overall IT as well but within IT, notebooks should be slightly higher.
Unidentified Analyst: Okay, so notebook up slightly maybe and monitor down slightly?
Unidentified Company Speaker: Slightly, yes. The two relative basically offset one another.
Operator: The following question will be presented by (inaudible).
Unidentified Analyst: There has been some news flow about Chinese TV set signing agreements with Taiwanese panel makers to buy panels and I just wanted to get your thoughts on what you think the implications are for you as a panel maker?
Kevin Choi: Yes, I think that since last year China company and Taiwanese company, they are talking about how many panel they are going to buy from the LCD makers but we always communicate same opinion because it’s worldwide free selling, free buy. So, I think that anybody can talk to anybody to buy panel. So, it’s nothing special, even last year they talked about the issue, but actually the market share and situation has not been changed. I think actually our market share in China is actually going up right now, so that doesn’t actually give us any impact, so I don’t think it’s kind of an issue.
Anthony Moon: As a reference, our market share did dip below 20% last year and now we are in the fourth quarter, our market share in China to Chinese set manufacturers has increased above 20% and looking on our current forecast right now for this year, we are looking to get to about mid 20% level in market share in China.
Unidentified Analyst: Okay. So, I suppose in your discussions with the Chinese TV set makers, you don’t see any change in their ordering pattern and as a result of this or anything like that?
Anthony Moon: No, no change.
Unidentified Analyst: Second question, your CapEx of more than KRW 4 trillion cash basis, what does that imply in terms of the capacity ramp up for your 8G fab?
Anthony Moon: You mean in terms of your capacity expense increase?
Unidentified Analyst: Yes, capacity increase.
Anthony Moon: Depending on when we ramp up our Gen 8 extension, our capacity increase this year will probably be somewhere between 25- 30% for this year depending on when we start to ramp and the speed at which we get the full utilization.
Unidentified Analyst: So what I meant was for your 8G fab what will it be so like by year end on this basis of your CapEx guidance?
Anthony Moon: Of our total CapEx, what portion will they account for, is your question?
Unidentified Analyst: No, what the 8G fab what capacity would be when it’s fully ramped up by the end of this year?
Anthony Moon: Right now, again that’s a difficult question to answer because we haven’t determined how quickly and how fast we’re going to ramp up Gen 8. Now, if our complete staff now Gen 8 completely, completely is brought online. It will be roughly about 120k per month.
Unidentified Analyst: I see. Okay, I know that the pace of the ramp up will really be dependent on what the end demand is. But I know, but what about the CapEx that you’ve allocated to it. How much would that allow you to ramp up assuming that demand is very strong?
Anthony Moon: Let’s say demand is beyond our expectations. We could reach the level that I just mentioned by early next year.
Operator: Following question will be presented by Mr. Vivek Doval from Boyer Allan. Please go ahead sir.
Vivek Doval: Hi, hello there. I have a few questions. First of all in terms of your rising air freight cost in Q4 due to rush orders, I just wanted to get a sense, what was the geographical location really as rush orders were coming, and I think you already answered this question, but I just wanted to be sure that we will not actually see these rush orders again going into Q1, that is question one. Second to fall on your LED TV shipment forecast global. Where do you actually see that? And, you also alluded to the fact that ASP's might actually even go up on account of cost. Now are we likely to see a positive ASP impact from LED TV panels and thirdly of your own views on basically any industry over capacity by probably the end of the year.
Anthony Moon: Very good questions. Regarding your first question about the logistic, I don’t want to point out one particular region per se. Overall though set manufactures, because much of our customers are global set manufacturers. And we really don’t know where those, when they turn into a monitor or a notebook or TV, where they end up. But I would have to say it was fairly across the board from our major customers, particularly I would have to say, if I had to distinguish to perhaps slightly higher on the IT side because the inventory levels, they were carrying over this lower than TV. So again, I can give it on particular region. As to your second question on the LED TV shipment forecast, we are looking at roughly about 20% this year, roughly about 20% to 30% of our shipments to be LED backlit this year.
Vivek Doval: Right. That is very useful. And what would it be as a percentage? How would you quantify as a total LED TV market for 2010?
Kevin Choi: Although LED TV market, there is many different kinds of opinion about that tester right now and there maybe many different numbers but as of now we think that the number should be higher than 30 million and if there is no LED chip limitation then it may go up to 35 million but as of now, we think its between 30 to 35 million.
Vivek Doval: Right just the follow-up question on that, do we actually expect an ASP uplift because of the LED proportion right in to the mix?
Anthony Moon: Absolutely, LED TVs our prices are higher than conventional CCFL, yes.
Vivek Doval: Great I think and finally the question on the over capacity, especially with the Japanese competitor ramping up capacity more in 2010. Do you suspect that there might be an over capacity as we reach towards the end of the year?
Anthony Moon: That’s a very-very good question and I think the old method in which we usually looked at capacity and the impact of that on the supply demand I think we internally are rethinking of how to calculate this because a big portion of now calculating the impact of future capacity and existing capacity on supply demand is the impact of the utilization cuts that are taking place. But no doubt fourth quarter, the early cut in production by our Taiwan competitors in the fourth quarter. So in that regards is becoming a bit more difficult to gauge what will happen on the supply side but as we stand now, in our internal forecast we are still looking at a fairly balanced supply demand throughout the year because we see prices going up in the first quarter I think there is going to be a slight shortage situation in the first quarter and then we may see a slight softening sometime into the second quarter but I think that would be short lived. Second half, I think we'll go back to the seasonal nature where we will see again a shortage situation.
Operator: The following question will be presented by Mr. Evan Steven from CLSA. Please go ahead sir.
Steven Fox: Hi good morning it's Steven Fox from CLSA. I am just want to make sure I am clear on what happened with your customer demand that you couldn’t meet in Q4. So you are saying that you fell about 10% short of what customers would take-in. Are those orders still on the books for Q1 and why would you see additional expenses related to those if you are also looking to be flat in the first quarter?
Anthony Moon: Good question. In particularly on the IT side and I think Davis' going to have something to add on this. Here traditionally the fourth quarter demand because demand falls they carry very, very low inventories there were some pickups in the demand side, that’s why they have to replenish some of their inventory because the inventory levels have come up a bit not to the exact levels or perhaps where they wanted to be, that’s why we think these where we have to ship by air will be reduced because their inventories levels have increased from a very, very low level from the fourth quarter. Davis do you have anything to add on that front?
Davis Lee: I think even though we had the difficult year last year but fourth quarter demand performance was higher than our expectation and there is based on the conservative expectation but the results came out to be really strong and going forward to first quarter, traditionally as Anthony already mentioned that first quarter demand level was usually about 8% to 10% lower than fourth quarter but this year we are seeing almost flat demand across IT side and the same with the TV side. But in spite of this kind of increased demand, the reason that we cannot supply more as the capacity limitations that we have and the industry in general have, major industry capacity increase is now going to happen during first quarter. So that could be my answer.
Steven Fox: So just to clarify one quick point, so does that mean that some of the Q1 outlook includes fulfilling some of the backlog from Q4 that you weren’t able to ship on time?
Davis Lee: Yes and no because one time, if the industry cannot meet demand, some of those demand is still alive and most of those demand is gone. So, it is very difficult how much percentage as the backlog carry over from fourth quarter but what we see is the increase of demand of 8% to 10% is not just a carryover deadlock from our fourth quarter. It is real demand increased that we analyze.
Operator: The following question will be presented by Mr. Brian White from Ticonderoga. Please go ahead sir.
Brian White: Yes, I just want to go back, you mentioned on operating profits about half of that shortfall was driven by currency and I assume most of that's in SG&A?
Anthony Moon: No. I apologize misled you. Half of that was from the price decline of our power prices; roughly less than a third is from currency.
Brian White: Okay, so what explains the 61% increase in SG&A sequentially?
Anthony Moon: Again, that’s mostly logistic cost. Not only that we see, we ship more on air basis but in the fourth quarter we did see air rates, freight rates go up as well.
Brian White: Okay. I mean that’s about a $150 million, seems pretty big for logistics. Second thing is, what on the tax, what are we modeling for the tax in the first quarter and for 2010?
Anthony Moon: Yeah, I think you can assume now to go back to normal levels, somewhere between 25% - 30%.
Brian White: 25% - 30%, okay. And then when we think about capacity coming up, you said you wouldn’t see it in the first quarter, we should think about it when, in the second quarter?
Anthony Moon: At the earliest.
Brian White: In terms of glass pricing, are you still expecting flat glass pricing throughout the year?
Anthony Moon: That is an area that I cannot discuss.
Operator: The following question will be presented (inaudible) from Macquarie. Please go ahead sir.
Unidentified Analyst: I just had two questions, kind of both related to the strategy. Number one if you could give us an update on just sort of the current update and status of some of your joint ventures, particularly with some of these assembly or set companies such as the [Suzhou Raken] as well as I guess the recently announced venture with TPV and sort of what is the thinking and logic for you is to get involved with those guys and how it’s going? And then number two, also just an update similarly on the LED side, your relationship with LG Innotek or your strategies on the LED chip packaging side?
Anthony Moon: As to the relationships we have with TPV and [Raken] and AmTRAN, the thinking behind that is to have a co-location and from the very beginning of the design stage, work together to reduce costs, in there we can reduce the larger components and improve the time-to-market in terms of reducing the inspection time, so that is the major benefit that we expect and that business model, what we call internally M plus S or module which is up and S is the set or the set manufacture, we expect that business model to increase going forward. So that’s the major benefit that we are enjoying with both, AmTRAN and TPV going forward.
Unidentified Analyst: Okay, so is it fair to assume from what I understand has been pretty successful, margins are good et cetera, that if there is an opportunity to come up going forward, it would definite be something that you could extend this model to other partners you think are worthy and qualified as well.
Anthony Moon: We would have to review on a case-by-case basis and for me to say yes or no, it’s difficult right now, but we will study that depending on the customer and on case-by-case basis.
Unidentified Analyst: Okay and just quickly on the LED if there’s anything you can share there?
Anthony Moon: As you know Innotek will be one of our major suppliers, we are also working with several other companies, as of now we have 6 suppliers, overall completely including TV and IT. On that front no major changes to be honest with you and what we have already announced already, so Semicon will also be one of our major suppliers as well.
Operator: The following question will be presented by Mr. Yair Reiner from Oppenheimer. Please go ahead, Sir?
Yair Reiner: Thank you. My question is been answered.
Anthony Moon: Because of the time, perhaps we should rap up here, but before I do, there is one item which I failed to explain, about one of our cost in the fourth quarter, and that is the actual input cost for our P8 or Gen 8 that we did incur some cost in the fourth quarter, building this facility, and doing some test runs if you want to call it that, but so that was another some one-cost item that was incurred in the fourth quarter as well. I give my apologies for not mentioning that when the question regarding fourth quarter earnings and cost came up. Again because of time constraint at this time, perhaps I would like to end the conference call at this time. If there is any further questions that you have, please feel free to contact myself or any of our IR staff, and we will be more than happy to answer follow-up questions or additional questions that you have. I look forward to meeting each and every one of you at a very early date, and I think you will be meeting many of our IR members including myself in the weeks to come. Again, thank you for participating in the call, and hope to see you soon.